Operator: Good morning, my name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Noble Drilling fourth quarter earnings call. All lines have been placed on mute to prevent any background noise. After the speakers prepared remarks, there will be a question-and-answer period. (Operator Instructions) Thank you. I would now like to introduce Mr. Lee Ahlstrom, Vice President of Investor Relations and Planning. Mr. Ahlstrom, you may begin your conference.
Lee Ahlstrom: Thank you, Regina, and welcome everyone to Noble Corp’s fourth quarter and full year 2009 earnings call. Before we begin, I’d like to remind everyone that any statements we make today about our plans, expectations, estimates, predictions or similar expressions for the future, including those concerning financial performance, operating results, spending guidance and the drilling business are forward-looking statements and are subject to risks and uncertainties. Our filings with the U.S. Securities and Exchange Commission, which are posted on our website, discuss the risks and uncertainties in our business and industry and the various factors that could keep outcomes of any forward-looking statements from being realized. Our actual results could differ materially from our expectations. We have included detailed balance sheets and income and cash flow statements with our earnings news release. Also note that we may use non-GAAP financial measures in the call today. If we do, you’ll find the required supplemental disclosure for those measures, including the most directly comparable GAAP measure on our website and an associated reconciliation also on the website. Now, I’ll turn the call over to David Williams, our Chairman, President and Chief Executive.
David Williams: Thank you, Lee. Good afternoon everyone and thanks for joining us. We’re coming to you live from Geneva today. As you know from our news release yesterday, our fourth quarter full year 2009 results were the best in the company’s history. That’s no small achievement given that we’ll begin our 90th year in business this April. No matter what metrics you look at earnings, margins, balance sheet strength, employee turnover, safety, 2009 was an outstanding year for us, In spite of the turmoil that we experienced both in the financial and the drilling markets. My hats off to the men and women around the world who delivered these outstanding results for our shareholders. And those of you in the financial community who stuck with us during this period, thank you very much, we appreciate it. Our call today will follow the usual format. I’ll provide some brief remarks and then turn the call over to Tom Mitchell, our CFO, to review the financials and provide you some guidance for 2010. Finally, Roger Hunt, Senior Vice President of Marketing and Contracts will update you on the market conditions and then we’ll answer a few questions. 2009 was remarkable in many respects. As we began the year, both commodity and share prices were in a freefall and the attitude of some investor conferences early in the year was pessimistic at best. If day rates weren’t going to go to cash cost and our customers were going to cancel every contract we had in place, then our backlog was going to go to completely to zero. Fortunately, the panic was short lived and by the summer, utilization began to flatten out and many regions around the world appeared to stabilize. Team in Noble has been through cycles before and even though this one was a little more abrupt than most, I think our group did an admirable job of staying focused and executing through the change. You will know the financial results if you saw the press release yesterday, but you should hear about a couple of other metrics by which we and our customers measure our performance, safety and employee turnover. We finished 2009 with a total recordable incident rate of 0.43 down from our previous best efforts in 2008, when we delivered a total recordable rate of 0.64. That’s a remarkable 33% year-on-year improvement. Likewise, our lost time incident rate dropped 58% from 2008’s 0.12 to this year’s -- 2009, 0.05, all this means better operations and value for our customers, lower claims cost and improved financial results for our shareholders, and more importantly, it’s a continuation of Noble’s commitment to keeping employees safe and making sure that everyone who steps on to a Noble rig, returns home to his family safe and sound. We still have a lot of work ahead of us to reach an incident free workplace, but I think our men and women around the world are up to the task. Employee turnover was another positive story for us in 2009 helping to keep our recruiting, training, and employee development costs down. Worldwide rig based employee turnover 2009 was 6.9%, down 15% from the 8.1% in 2008. Among our key personnel, the top 380 or so people in the fleet offshore turnover in 2009 was about 4.5% compared to 4.6% in 2008, all-in-all, a very positive trend that we hope we’ll continue this year. Turning toward the future, let me begin with an update on the new builds. First, our new build DP-3 semi submersible Noble Danny Adkins arrived in the Gulf of Mexico a couple of weeks ago. The crossing from Singapore was largely uneventful and the rig is now undergoing some final preparations before mobilizing offshore to complete final acceptance testing and before heading to its first drilling location for Shell. We expect to be back at full day rate around mid-March, a bit later than we’d originally anticipated, but both we and Shell remain committed to delivering a quality product that’s ready to drill when we reach our first location. Secondly, today I hope to be able to tell you that Noble Dave Beard had commenced its contract with Petrobras, but as you might expect, the holidays in Brazil has slowed everything down. Right now, though Petrobras is onboard and we’re continuing to demonstrate rig systems as part of the Petrobras acceptance protocol. So far, all is going well and we expect to be on day rate by the end of February. Finally, the Noble Jim Day, our remaining semi submersible construction project in Singapore is going well and according to our schedule, but we’ve been informed by our heavy lift contractor that they will be delayed due to an issue with a rig being scheduled to be moved immediately prior to the Day. We’ve looked at alternative vessels but given the size of the Noble Jim Day and the very limited number of ships capable of carrying such a large vessel, this is going to push our departure from the end of April to the end of May. Unfortunately, this will fall directly in the critical path and we therefore won’t go ahead on contract with Marathon until September rather than August. Finally, construction is underway on the Noble Globetrotter and on that project everything is proceeding according to schedule. As I mentioned early on the call, the market activity levels have stabilized fairly nicely compared to other cyclical troughs. I’ve also said in the past, we actually would have preferred to see more turmoil for a longer duration to create more distress among some speculative new builders and thereby develop some opportunities to acquire some assets. So far this hasn’t exactly worked as well as we had hoped and while we remained focused on looking at these types of opportunities to expand the fleet at prices we think makes sense and adds value to shareholder, it is apparent that the cycle may not get as deep as some might have thought a year ago. It’s a good news/bad news situation, good for the overall market, but bad if you’re hoping to pick up assets on the cheap. We still have a tremendous backlog just over $8 billion at year end and as efficiently as we run Noble, it appears, we’re positioned to throw out a lot of free cash in coming years, especially if our capital spending starts to taper off in the years ahead. I think we demonstrated that were pretty good stewards of the cash and that we won’t do anything stupid with the money. It’s not burning a hole in our pockets, but all I’ve said, if we don’t see the kinds of growth targets that we’re hope for, we may find ourselves with a high-class problem of too much cash and how best to deploy it. As you know, we’ve had an active buyback program since 2006, and during that time, we returned almost a billion dollars to shareholders through that program with average purchase prices below average market prices. There are those who recognize and appreciate the buyback program and there is a vocal set of shareholders interested primarily in a yield through dividend. Some of you’re still looking for us to lever up and give the cash through a more aggressive scheme. Nine months ago, many of you were afraid the market was tanking in our backlog, was evaporating, we wouldn’t have any cash. Cash was king. Now we’re back to hearing about dividends. Some of us have very short memories, but those of us at Noble are thinking a little longer term. We run this company as a going concern with a goal of creating value for the long term investor. Our time horizon on decisions in many cases is very different from yours and we live with the ramifications of our strategy long after you may have exited a position. Most of the strategies the different factions of our shareholders base prefer have merits under certain circumstances and some just are not in the cards at this point in time. Likewise, many of these are not necessarily mutually exclusive and can be deployed successfully along with one or more other strategies. Keep in mind, that having this much cash on the balance sheet, and having this much cash in our balance sheet like Noble is effectively un-chartered territory for a contractor. We just haven’t been in this position in our history. All of that said, rest assured we hear you, we understand your perspective, all we ask you to you be patient and understand ours. We think we’re in a great position right now, and sometimes it’s a little frustrating to see where we trade, but we have a clean balance sheet, plenty of liquidity gives us optionality. We have a fleet that continues to deliver top margins, an environment with increasing bid activity across both deep and shallow water markets, our loyal and safe workforce and a disciplined approach to creating value. Frankly, if you believe this is a cyclical business, from my perspective, I’m not sure we could have scripted it any better. We are not exactly sure what lies ahead, but there will be opportunities, and we’re excited about the position we are in as we head into the coming year. With that, I’ll turn it over to Tom.
Tom Mitchell: Thank you, David. I would like to quickly review our fourth quarter and full year 2009 results before focusing attention on the preliminary guidance for full year 2010. Yesterday, we reported fourth quarter net income of $446 million, $1.72 per fully diluted share on total revenues of $940 million. Compared to the third quarter 2009 net income was up 4.8% and our per share earnings were up 5.5% from $1.63. For the 12 month ending December 31, 2009, our net income was a record $1.7 billion or $6.42 per diluted share on total revenues of $3.6 billion. You compare that to calendar year 2008, net income rose by 7.5% from $1.6 billion and our 2009 full year earnings per share were up over 10% from $5.81. You’ll note that our tax rate for the quarter came in approximately 12% versus our guidance of 14%. Absent the positive one time settlement in the Middle East, which was discussed in the press release, earnings per share would have been about $1.69. So we would have still exceeded consensus estimates mainly by coming in at or near the lower end of our guided cost expectations. Contract drilling service revenues increased quarter-on-quarter by 2% to $894 million. Average daily revenues for the fourth quarter were 199.1% from the previous quarter and up 5% from the same period last year. This increase was primarily driven by the Noble Danny Adkins, which left Singapore to come to the U.S. Gulf. Commencement of operations on the Noble Scott Marks and lower down time. Also in November, the Noble Paul Wolff began working at a day rate of $428,000, exclusively of bonus potential, up from its previous day rate of $164,000 per day. We’re glad to report all our units operating in Brazil, once again earned at least one month’s performance bonus resulting in a positive impact of about $3 million, when you compared the two quarters. Offsetting these increases, lower revenues on the Noble Clyde Boudreaux as they concluded its commitment with Shell, as well as reductions in jackup rates as units entered into new contracts at lower market rates. We re-priced according to the index formula in Mexico or in a few instances rolled off contracts. The average day rate reduction on 14 working jackup units that experienced day rate changes was about 22%. I would like to direct your attention to reimbursable revenues, which along with their related reimbursable expenses during the fourth quarter were significantly higher than previously reported quarters, primarily due to mobilization related activities for the Noble Danny Adkins. We anticipate reimbursables will return to the previous quarter levels, once the mobilization is complete. Turning to contract drilling services cost, quarter-on-quarter cost were up 5.3% to $264 million. Commencement of operations on the Noble Danny Adkins and a full quarter of operations on the Marks accounted for $10 million of that increase. Execution continues to be a key differentiator for Noble, as our full year costs for 2009 came in at $1.01 billion, just above the bottom end of the guidance range and about $5 million below full year costs for 2008. Throughout the organization, we continue to be diligent on monitoring and looking for additional ways to improve cost efficiencies. Our per day basis fourth quarter 2009 costs were 58.8000, an increase of 4.2%, over third quarter costs again driven by the new rigs. Full year costs came in at about 56.6000 or 5.6% over our average daily 2008 costs. Our contract drilling margins were 70% for the fourth quarter and 71% for the full year and that compares to 69% for 2008. The depreciation and amortization expense for the fourth quarter came in at $113 million, that’s up from the third quarter’s $103 million and we ended the year at $408 million, which is in the bottom half of the revised guidance. The increase in depreciation quarter-on-quarter was primarily due to full quarter depreciation on the Noble Scott Marks and the commencement of depreciation on the Adkins. SG&A for 2009 came in at $80 million, which is on the lower end of the full year cost guidance. Turning to our capital program, capital spending for the fourth quarter came in higher than expected at $539 million, bringing our full year total to $1.4 billion, about $100 million over the guidance for the year. The difference between the actual and planned was mainly a function of timing on equipment payments on the Globetrotter, additional fleet equipment, and the timing on payments on the drillship upgrade projects, which we originally contemplated in 2010. During the fourth quarter, we repurchased about 1.8 million shares at a cost of $42.6 per share or $74 million in total. That brings our full year share repurchases to 5.47 million shares at an average price of $34.10 or a total cost of $187 million. The number of shares remaining on our current board approved repurchase authorization is $12.9 million, subject to the Swiss requirement that we cancel treasury shares held in excess of the Swiss statutory limit. On a housekeeping note, the reporting on the balance sheet in terms of how we show our share count has changed a little bit as a result of being in Switzerland and I’ve had a few questions on that. To get to our float or the outstanding shares, at December 31, the 3.75 million shares that we bought back since we’ve been Swiss into the treasury have to be backed out of the 261,975 [ph] shares shown as outstanding. So the outstanding shares with that backed out are 258,225. Noble continued to show its significant financial strength with a strong balance sheet and cash position. Cash at year end 2009 was $735 million compared to $513 million in 2008. Year end debt to cap on a book basis was 10% compared to 14.9% last year. Now we would like to direct your attention forward with a review of the various components of our 2010 guidance. As a reminder, our budget will be formally discussed board next week so this is preliminary. Additionally, we issued a fleet status report this morning which detailed our expected planned shipyard and some known off contract days for 2010. Let me give you a quick rundown on those. We should have about 450 days related to regulatory inspections and upgrade including about 120 days installing additional leg sections on the Noble Roger Lewis. The Lewis originally left the shipyard early to meet its heavy lift commitment, so it could begin its contract with Shell in the Middle East where the leg sections were not required. We’re going to finish up that work this year. The Noble David Tinsley which suffered leg damage during the punch through incident in 2009 will be out of service for about nine months as it undergoes its repairs. The two submersibles in the U.S. Gulf of Mexico are expected to be cold stacked for the entire year just as they were for the majority of 2009 and that adds 730 days. Finally, we are currently aware of about 450 other idle days on rigs which are either uncontracted or will start commitment later this year. This totals about 1,900 days. We expect to continue our practice of updating the fleet’s status routinely to not only reflect changes and additions to our contract status but also revise actual and expected down time. Note that we don’t project idle time on rigs unless we’re aware of a contract at the back end of that time. For full year 2010, our contract growing services costs are expected to range from $1.1 billion to $1.3 billion. The increase in cost for the upcoming year is primarily driven by the expansion of the fleet as our new build rigs begin work. We will have full year costs for the Noble Dave Beard, the Noble Danny Adkins and the Noble Scott Marks. And the Noble Jim Day is expected to enter service in the third quarter of 2010. These new rigs will account for approximately $115 million in startup and operational costs, as well as providing additional revenue. If we were to consider ongoing operations, excluding the new builds, we’re only expecting about a 4% increase in our costs at the handrail [ph], that would be labor, repair and maintenance, catering, et cetera. Finally, we’re budgeting for a negative currency impact this year of almost $15 million as we expect the dollar to weaken beyond what we experienced in 2009. I would note though however that two/thirds of this currency impact relates to the difference between 2009 average rates and the spot rate at the time we budgeted, so a fair amount of that was already baked in. For the first quarter, contract drilling costs are expected to be in the range of $285 million to $295 million with some increase in the third quarter as we bring the Noble Jim Day online. Obviously, in this kind of environment, we have some idle time built into our budget across the jackup fleet. Should we experience better utilization, you can expect cost to rise offset by additional revenues. On a per day basis, we are expecting daily off costs to average close to 64.8000 driven by a full year on the Marks and Adkins plus commencement of operations on the Beard and the Day. Depreciation and amortization will be up this year obviously as a result of the new builds entering service. For the full year, we’re estimating a range of $490 million to $510 million and we expect in the first quarter, we will run the range of $110 million to $120 million, increasing by about $10 million in the second quarter and another bit during the fourth quarter as the Jim Day has its first full quarter of operations. SG&A, we expect to increase $0.20 falling in the range of $90 million to $100 million with costs split about evenly across the quarters. Our effective tax rate is expected to be 15.5% for the year, but that may move around a little bit depending on the mix of revenues as we complete out the year. Finally, our capital expenditures are expected to be just under $1 billion in 2010, as below our 2009 actual of $1.4 billion and the breakout follows. We anticipate spending $270 million on the new build program and that includes the Globetrotter. The next piece is about $190 million on the reliability upgrades for the three drillships in Brazil. We intend to spend $300 million on major projects, which includes things like upgrading jackup systems and repowering rigs along with other various items. We’ll spend $160 million on sustaining capital for the year, which includes surveys, capital spares, maintenance, etc. Lastly, capitalized interest and other general capital should run right around $75 million. Capital spending for the year is expected to be front end loaded with the first quarter being the heaviest and coming in somewhere around $325 million. That concludes my remarks and I’ll turn it over to Roger to talk about the market.
Roger Hunt: Thank you, Tom, and good morning to everybody. While two very important metrics of utilization and day rates declining for us Q4 versus Q3, I’m pleased to report that bidding activity increased slightly during the fourth quarter from what we saw early in the year. The jackups, we continue to see a significant difference between utilization figures for independent leg cantilevered units in regions outside the U.S. and utilization of all jackup classes in the U.S. Gulf of Mexico. With most units that could have mobilized out of the Gulf having already done so, we believe this regional differentiation will continue and that our strategy of focusing on international opportunities outside the U.S. is serving us well. Currently, utilization outside the Gulf is holding around 80% and while U.S. Gulf utilization improved slightly during the quarter, it is still only half that level. Regionally, the industry saw a slight utilization increase during the quarter in West Africa and the North Sea, while most other regions were little changed. Day rate fixtures for international jackups are generally holding in the $85,000 to $115,000 per day range that we’ve been discussing for some time. Units working in accommodation mode are earning around $50,000 per day with commensurate reduction in operating costs. Let me touch on a few specific regions. In Mexico, there’s been a lot of confusion around Pemex’s plans to the upcoming year in terms of renewals. Some have been concerned that we could see a dramatically reduced jackup count, but we remain optimistic that Pemex will continue to need good performing assets like the Noble rigs to help offset some of their decline issues. We have been successful in securing short term extensions on both the Eddie Paul and Leonard Jones to keep these units operating at a strong rate, $128,000 into June. Today, we expect to execute a 20% extension on the Lewis Dugger and we are working on a similar extension for the John Sandifer. Our understanding is that Pemex is working on bid packages with the goal of publishing them in the very near future. Our position in Mexico as an incumbent is a very strong one. In the North Sea, we’re pleased to report that the Byron Welliver is returning to work at approximately $86,000 per day, beginning in March and ending at the end of July. In addition, we expect the Lynda Bossler to have some idle time during the first quarter, but return to work in April for approximately four months at around $89,000. Finally, we expect the Ronald Hoope, to continue working for Gaz de France from mid-February through mid-July at $93,000 indicating a slight uptick in day rates. In West Africa, we are hopeful regarding the current tender exercise in Nigeria for the Ed Noble and the Percy Johns. We’re also pleased to report that we’ve received a letter of intent on the Tommy Craig head for work beginning in the second quarter. This unit has been idle since the second quarter of 2009, so we view this as a positive sign. In the Middle East, opportunities are increasing as well. We secured a one year commitment on the Chuck Syring working as an accommodation unit and we also moved the Dick Favor into Bahrain for a one well opportunity with an option for an additional well. Discussions are also picking up in deepwater. There’s some concern out there that there’s going to be a surplus of deepwater units in 2011 as rigs roll off contract. We’re not overly worried about this market segment. Improved prices certainly support continued exploration and development and while we haven’t seen any confirmed fixtures for some time, we believe deepwater day rates will continue to be supported with strong margins and good returns. We expect that customers will begin lining up rigs for the 2011 programs in the next quarter. The next available Noble unit is the Paul Romano, likely to be available this summer. We’re in discussions with a number of customers and we believe we’ll find an opportunity for the rig. Beyond that, there are several operators that are interested in the Globetrotter design, and we’re engaged in a number of active conversations on that front. Overall, we feel pretty good about the position we’re in. With that, I’ll turn the call over to Lee for Q-and-A.
Lee Ahlstrom: Thanks, Roger. Let’s remember as we go into the Q-and-A segment of the call, that we do have a rule of one question with one follow up. Regina, would you go ahead and queue everybody up?
Operator: (Operator Instructions) Your first question comes from Ian Macpherson - Simmons & Co.
Ian Macpherson - Simmons & Co.: I guess the first question would be regarding the Dave Beard. I had it in the back of my mind that we might have some minor day rate adjustments from Petrobras relating to these delays and I haven’t seen that reflected. Is that still something that we should expect and has that gotten any bigger in any way?
David Williams: The structure of the penalties there, it’s a percentage of the day rate per day and it will be amortized effectively and accounted over the term of the contract. So on a day-by-day basis, it’s almost invisible. Yes, the longer we go, the bigger it gets, but it’s just not material.
Ian Macpherson - Simmons & Co.: Then Roger, with regard to your outlook on the jackups, it seems like, if I think about the outlook on the third quarter call, it was for I think surprisingly improving inquiry in tender levels and that seems to be slowly melting higher now in terms of activity corresponding with that. Based on the level of inquiry and tenders that you see now, do you see activity improving at a more accelerated pace as we go into the middle part of the year? Or do you think it’s going to continue to trickle higher at a pretty moderate pace?
Roger Hunt: Ian, it’s a little difficult. I mean we look at bids and quarter-over-quarter, they have ticked upwards. We’ve been a little bit surprised or disappointed that that hasn’t resulted in some early awards. The first couple of weeks of the year were quiet. Having said that, we do look for the North Sea, for the Middle East, I think West Africa is a different question, but we do think that over the next month or two, we’re going to see quite a few awards. To the rate of change, I think our view would be, with commodity prices staying strong, we might see an accelerated growth, but I guess I would say that just look for a gentle up tick.
Ian Macpherson - Simmons & Co.: Which markets, if you had to pinpoint one or two do you think are going to move the most on your term?
Roger Hunt: I think to speak to Mexico, we feel very good about Mexico. So we believe that all of our incumbent rigs in Mexico will stay there and we’ll work through the bid process and we have every reason to think that our fleet will stay as it is. In the North Sea, we’re running at about 85% utilization. We’ll look for that to improve. We do think there’ll be an increase in activity there on the North Sea come Q2. In the Middle East, I think there’s just some dormant demand there that hasn’t been worked through. So I think you’ll see some level of awards there. India is going through a bid process now. On the margin that probably will only mean one and at best maybe three more rigs to their fleet by the end of the year. Southeast Asia seems to be quite active. If there’s any space or region that has potential for the most rapid increase, it would be West Africa, only because utilization is so low there.
Operator: Your next question comes from Alan Laws - BMO Capital Markets.
Alan Laws - BMO Capital Markets: I’d like to ask about one of my favorite topics, and it’s cash return. I’m going to show my short term memory here, so I’m glad you have a sense of humor, Dave. One of our investor friends recently referred to the issue as sort of the proverbial Charlie Brown football. So, we look at you and we say you have negative net debt, so conservative debt capacity of over say $1.2 billion to build stuff like normal rigs. A free cash flow yield of over 7% in 2010, with an activity outlook arguably headed up for the intermediate term. It looks to us like maybe your wearing belt and suspenders. So was kind of wondering, what do you think needs to happen to kind of loosen the purse strings, and we don’t really mean leverage recap, we just think a solid, we’ll call it a good special dividend yield, and more specifically, could a special dividend proposal be on the upcoming proxy for the Annual General meeting?
David Williams: Well, do you want us to just send you a copy of the draft proxy there?
Alan Laws - BMO Capital Markets: Well, you should be. As long as you send it to everybody, I think that’s fair.
Tom Mitchell: Would you like it in French or can you stand English?
Alan Laws - BMO Capital Markets: You better shoot that in English.
David Williams: I’ll take the last part first. It’s an ongoing dialogue with our board. We don’t try to pick our battles, and the distribution of cash to shareholders is something that our board is aware of just like we’re aware of. So, will it be on the agenda? I’m not going to tell you what’s on our agenda or not on our agenda, but I can tell you it’s on our radar screen and I’m not going by just management, because our board is not asleep at the switch. They know what’s going on, so we’re aware of it. With regard to how much you need or how much you want, it’s kind of like asking how long is the line? We’ve made a lot of money but we haven’t made it all, and we want to make as much money as we can for our shareholders, and there’s still opportunities out there. Some you guys know about. We probably have people on the call; we can discuss three or four intimately, but there are others some you know about, some you don’t. We’re not going to get down into the details of talking about them, so there are a lot of possibilities, both on small deals and large deals. We like the optionality, we like where we are. Clearly if this keeps going, I mean, we would have thought the bar for second hand sales would have been set a bit lower, but it didn’t happen that way. There are still some possibilities out there, the bid ask is still I think fairly wide in some cases, but it’s closer in other cases. The market is a lot better. Where we’re having this call, versus where we had even two quarters ago the call, the outlook is very different. So I’m not embarrassed to have the cash. We’ve got a lot of room to move. I feel like we will have an opportunity to do something and you guys will pat us on the head and say ‘you’re right,’ and in the mean time, we will suffer the slings and arrows that we get. We’re running this business with a long-term view, and we don’t get ourselves in this position very often, and we’re going to be very deliberate about how we execute through the next six months. So, we didn’t wake up first of the year and change our mind. I think the State of the Union last night, Obama said, he’s doing exactly what he was planning to do, and I don’t want to get, draw too close of an analogy, but we’re doing the same thing. We haven’t changed our mind about what our goal is or how we are going to execute it. We’re going to be very careful about how we move forward.
Alan Laws - BMO Capital Markets: The West Africa jackup market continues to be pretty strong in terms of day rates, even though utilization is in the ‘60s. Can you characterize what you think might be going on in this market to sustain the rates at this level. I know you mentioned that it was a market that could get stronger quicker. What are you seeing in that story [ph]? Is that just a competitive field or is it because that field is consolidated already and there’s not enough players there, so you guys are able to keep your rates up?
David Williams: I think I missed the first part of the question, but you’re asking me about the West Africa’s jackup market?
Alan Laws - BMO Capital Markets: Yes. Why has it been able to sustain rates at a fairly higher level with the utilization much lower than other regions of the world?
David Williams: Well, the question I think has a lot to do with what the marketed supply is. Even though there’s 28 rigs, I think about eight or nine of those have been cold stacked and effectively taken out of the market. So, the marketed supply is way down and I think that’s your answer. There has been quite a bit of discipline on the pricing side and hence the rates are maybe higher than what you thought they might be.
Alan Laws - BMO Capital Markets: When we look at other markets though, they’re still hanging in the ‘80s, which to me wouldn’t be a broken market or one that’s down [ph]. This one, even with that being the case, we’re looking at it on a working utilization basis, we are moving close to that. Just wondering, there’s nothing special about what’s going on in that market or the demand profile?
David Williams: I don’t think so.
Operator: Your next question comes from Jim Crandell – Barclays.
Jim Crandell - Barclays: Dave or Roger, I think you characterized the deep water market last call looking out to 2011 as sort of a game to check and there was still a lot of uncontracted supply, but there was a fair amount of demand. Can you update your thoughts on 2011?
David Williams: Jim, I think it’s still the case. There’s a lot of conversation going on. There’s a lot of customers that are in either the formal or the informal bid process right now. A lot of talk around Petrobras being in the market for 2,400m units, and that could take one or as many as four off the market here over the next few weeks. The second element of this and we spoke about it before is that operators don’t have to dial-in to use lead time to get their unit. So I still think we have that game of chicken going on.
Jim Crandell - Barclays: Roger, how many deepwater contracts might have to be signed before maybe there becomes anxiety on the part of the operators concerning the quality rig availability at a price that they want? Is that something you think could happen quickly over the next three months or during any three months period there was two or three of the uncontracted supply, went quickly at market rates or higher? Would that cause it or is there something we may not know until very late in the year?
Jim Crandell - Barclays: Well, I’m trying to picture what that anxiety on the customer’s face looks like. Jim, I will stick to it, I just think over the next three months we’re going to see quite a few announcements of 2011 programs, and that in itself, along with some recent discoveries might generate a different way of looking at programs for 2011 and beyond. In a way, you may see that it may propagate more activity.
Operator: Your next question comes from Geoff Kieburtz - Weeden
Jeff Keybert – Weeden: The 100% utilization that you achieved for the floaters in the fourth quarter, can you give us a little color on that. It seems like a rather extraordinary achievement. How close to that can you sustain?
David Williams: Well, I mean all the floaters are under contracts that started a while back and they’re continuing to run. We don’t have any floating availability. The only two floaters that we have coming off will be the semi in the North Sea which is an August date, and then the Romano which is a July date, and both of those we think are well positioned for follow-on work.
Jeff Keybert – Weeden: Buts as a practical matter, I guess there’s contracted utilization and then there’s actually operating utilization. Do you think that you’re going to be able to keep up that level, that very high level of utilization on a sustained basis?
David Williams: Are you trying to make a distinction between up-time and down-time?
Jeff Keybert – Weeden: Yes.
David Williams: We did experience some floating down-time during the quarter. I mean, we had a 100% contracted utilization during the quarter, but we always have during the quarter, times where the rigs are down for repair for various items, and I can’t think of an instance right off the top of my head, but I can assure you we had some during the quarter. Our contract position is fairly well known. Our utilization has been actually fairly good. As Tom talked about, our bonus performance in Brazil has been better. We put a lot of systems in place, and continue to put systems in place to support the fleet on a broader scale to maintain utilization, largely with an eye towards the bonuses in Brazil, but our utilization is good. It’s not perfect, but it is good.
Jeff Keybert – Weeden: And I guess my question is really about the sustainability. I was just really asking about the sustainability of the utilization. Did the operating utilization, the up time that you achieved in the fourth quarter, is that sustainable in your view?
David Williams: Yes, I think it should be, yes. There will be challenges with the new builds coming on. There’s always challenges with the new builds coming on. One of the things that we’re focused on the Adkins, is trying to make sure that the systems are running, and when it goes to work our up-time will be good. Our protocol for the first phase of sea trials for the Adkins was scheduled to be about 15 days. We actually did it in about nine days, and so far the acceptance protocol for the Beard once we finally got to that point has gone very well. So, one of the things we’re focused on is, we don’t want a bunch of down time when the rig goes to work, so we’re focused on making sure the rigs are ready to drill whenever they sail, so we don’t have to endure the pain later. So, yes, I think our performance is good, but yes, I think it’s sustainable.
Jeff Keybert – Weeden: And the follow-up is just, as you kind of look at bidding the Romano, I mean how are you thinking about the potential rate relative to the current rate?
David Williams: Well, the most recent award for a rig of that class has been around the mid 300s, and we haven’t seen anything that would indicate that that’s not a good rate.
Operator: Your next question comes from Jud Bailey – Jeffries & Co.
Jud Bailey – Jeffries & Co.: A question on the Langeveld, you’ve got a little one well extension it looks like. Can you talk about the prospects for that rig in the second half of the year, and is that rate around 250, what you see as maybe the market for that type of rig for the rest of the year?
Roger Hunt: In reverse order, I’d say, ‘Yes, I think that’s a good rate,’ and the customer that has the rig, we would guess that the rig will stay with them.
Jud Bailey – Jeffries & Co.: Okay.
Roger Hunt: Let me finish that sentence, well into 2011.
Jud Bailey – Jeffries & Co.: That’s good to know. And second, as a follow-up on your Mexico commentary Roger, you mentioned that Pemex is preparing bid packages. Based on what they are telling you, would you anticipate those bid packages will be large enough to keep the rigs that are renewing down there or would be looking potentially to few rigs having to leave the region because there’s not enough bids to support what’s down there currently.
Roger Hunt: Well, certainly I’ll answer the question finally to say that we’re confident that bid requests for extensions of our rigs, subject to us getting the pricing right, will result in our rigs staying in Mexico. As you’ve noticed there have been four units depart the area, and I think that was a lot about performance issues where Pemex decided they didn’t suit their performance requirements. We have a view that in terms of the total fleet, that they will be requiring that rig count into the future and maybe more.
Jud Bailey – Jeffries & Co.: So to be clear, the rig count, they’ve already released some rigs, so the rig count they effectively have today, you think they will acquire going forward, is that fair?
Roger Hunt: That and more.
Operator: Your next question comes from Robin Shoemaker - Citi.
Robin Shoemaker – Citi: I want to just go back to the deepwater for a second in Roger’s comments that we should expect to see some new contracts in the next few months. Really, my question is you talked about the rate, but also what should we expect in the term? As I recall, as recently as the third quarter of last year, we did see some ultra deepwater rigs with three to five year terms. Are we going to see shorter terms in this next round of contracts?
Roger Hunt: Robin, I don’t think so. The programs we’ve been looking at, we can’t remember seeing anything. Maybe one requirement was for two years, but most of them were for three or more.
Robin Shoemaker – Citi: So this game of chicken that you described is really about rate and the long term need for rigs, the desire to lock in high quality deepwater assets is still there?
Roger Hunt: Yes.
Robin Shoemaker – Citi: So if I could get you to comment then about Petrobras’ stated intention of hiring more rigs that would be built in Brazil and you’ve addressed this on previous call. I wondered, what your updated thoughts are on the possibility of building deepwater rigs in Brazil under the kind of plan that Petrobras has outlined?
Roger Hunt: I think taking it face value, Petrobras, and the greater Brazil would like to see these projects, there’s a maximum for the Brazilian economy. Our view is, as we work through this bid process is that there’s not a lot of capable capacity to build these units, and that being the case, where there’s short apply, one might argue that the pricing on these projects is going to be considerably greater than building the units outside Brazil, which will result in day rates that could be quite a bit higher than Petrobras has historically been prepared to pay. So there you’ve got the bust, when they could go to the open market now and contract a good quantity of the demand. So again, I think it’s just going to be one of those things we’ll watch. The bid may get extended. We hear a lot of talk about that. Everybody will give this thing a shot, but it is a long shot in terms of local construction.
Operator: Your next question comes from Collin Gerry - Raymond James.
Collin Gerry - Raymond James: I want to go back to the comments on Mexico. You mentioned that you expect your Mexican fleet to stay in Mexico. If you could just remind us how many of the rigs down there have received 20% extension and how many are still waiting to sign up?
David Williams: It’s a moving target. Today would make it three.
Roger Hunt: Today would make it three once the paperwork is done.
David Williams: Soon, it’d be four. Really, that’s just a question of need. All of those that needed an extension have either got it or are about to get it.
Collin Gerry - Raymond James: How many have had it?
David Williams: Three, we’re in the process of working through the fourth.
Collin Gerry - Raymond James: Unrelated follow-up, during the quarter or recently, there’s been a report that a shipyard was building three new drillships and I think the price tag was a little bit lower. This was kind of the first data point we’ve had in the while, in the low $500 million, mid 500 range, does that concern you in terms of what it could mean for leading edge day rate on a deepwater rig if we do see costs coming down?
David Williams: I guess it was DSME that announced three new builds at about a little over $1.6 billion.
Collin Gerry - Raymond James: Right.
David Williams: Keep in mind that’s a shipyard price. That may or may not be an all in price. The proud owners or the people who are contracting those vehicles have yet to put out anything about what their all in costs are. So that’s not a surprising number to us. I don’t think it’s -- shipyard costs don’t necessarily reflect fully developed delivery costs. If you go back, some of our competitors announced, and not long before we announced our Globetrotter (inaudible) new builds of 745, all in, our all in cost for the Globetrotter was about 580, a little more efficient design and a little bit smaller footprint. I think it’s reasonable to assume that all of those costs have come down some. I’m not one of these people that believes that shipyard cost set leading edge day rate cost, are leading edge day rates. They’re not necessarily connected. They’re supply and demand of their own individual markets, and they are hinged with one another, but they’re not necessarily dependent on one another. So, no, I don’t think that sets leading edge day rates for deepwater assets headed forward. That’s going to be a function of supply and demand, and as Roger pointed out, it’s going to be make a difference on what Petrobras does. If they decide not to build 28 rigs in Brazil and they go with the open market, that’s going to be a one scenario. If they decided to build these rigs in Brazil, that’s going to be a different scenario, neither of which is good or bad, they’re both just different. So I agree with Roger and so far as there’s a lot of deepwater demand out there that is yet to be satisfied, some of the world is aware, some it’s not. So I don’t think they’re necessarily connected.
Collin Gerry - Raymond James: Just for reference, how much, and I don’t know, if you have a number, but how much will it cost to build a Globetrotter today? How much in percentage terms does that cost comes down with rig equipment, shipyard cost, just kind of all in?
David Williams: Rig equipment, shipyard costs, steel, foreign exchange improvements over when that was, and going the other way a little bit, I would say it’s probably down between 10% or 15%, I think that’s probably not a bad guess.
Operator: Your next question comes from Arun Jayaram - Credit Suisse.
Arun Jayaram - Credit Suisse: A quick question on West Africa, Roger, as you may recall from your days at GlobalSantaFe, between ‘05 and ’07, it was perhaps the tightest jackup market in the world given a pretty healthy outlook for oil. What do you think it will take to get the jackup market moving in the right direction?
Roger Hunt: I will probably you the same answer I gave you back then, which was, I think if we went back and looked at rig count in Nigeria, it was in the mid-teens. I think we’re down to about nine jackups in Nigeria right now. So I’d really think a lot of West Africa has got to do with Nigeria being a more operator friendly place to work.
Arun Jayaram - Credit Suisse: Are you seeing any signs or any changes in terms of them changing things to support that?
Roger Hunt: Well, some changes. Our customers there have been working to get support to bid a quantity of jackup long term programs for almost 18 months, two years now, and they’re proceeding with that. But you’re dialing in two year lead time. So they’re hopeful that they’re responding to NAPM’s [ph] needs and that they’ll have more flexibility in prosecuting programs.
Arun Jayaram - Credit Suisse: If there’s a timing of a recovery, it may be more of a 2011 type of event, given the lead times?
David Williams: Well, to the extent that you’re taking us back to the 2005, 2006 period, yes.
Arun Jayaram - Credit Suisse: My second question is kind of a follow-up on Alan’s question. Tom, as you know, there is some contemplated changes in Swiss tax law, the Corporate Reform Act that comes into play in 2011, that makes it pretty tax efficient. You guys obviously do a dividend, but to distribute cash to shareholders through a dividend, you wouldn’t be subject to the Swiss withholding tax. Does that change the way you think about increasing the dividend going forward? Does that come into the equation?
Tom Mitchell: Not really, Arun. All that really, we had preplanned, baked in the flexibility to do sizable dividends when we entered the country, considering the existing laws. What that does is it just gives us more flexibility. It makes it easier and allows us more flexibility. I don’t think we’re really limited right now in any way. So you shouldn’t think about it that way and we would need to wait. And then you’re only dealing with basically a year or almost less than a year by the time you went out with any proxy should we choose to go that direction.
Operator: Your next question comes from Angie Sedita - UBS.
Angie Sedita - UBS: Roger, I think it was very interesting what you said about Mexico and you’re very confident about all of your incumbent rigs staying in the region. Maybe you can give a little color there, but you also alluded to potentially a tender for incremental rigs beyond what’s already in the region and I would assume that would be high spec rigs and any thoughts as far as how many additional rigs could be needed beyond what’s already there? Do you think that there will still be a few more releases as far as lower spec assets that will move back to the Gulf of Mexico?
Roger Hunt: I think any mat supported rigs in Mexico may have more risk than independent leg rigs. In terms of high spec, I think that’s the movement we’re going to see is, our rig count that is replacing mat supported with ILCs and I think that’s the journey we’ll see over the next period, next 12 months.
Angie Sedita - UBS: So, incremental rigs for high ILCs of two, four, six, any thoughts about the size of the tender beyond what’s already there?
Roger Hunt: I’d say let’s postpone that one for a while and just see if they can get the rig count back to what they had [ph] without releasing these mat supported rigs. In terms of color, we do see some rig shifts in terms of what they’re working on and one of our jackups is moving on to Cantarell and I think with the high decline rates, we’ll see more of that occur. So they’re going to be responding to a situation that’s becoming quite desperate in terms of decline rates. That’s what’ll drive I think incremental demand in Mexico.
Angie Sedita - UBS: One more question as a follow-up on the jackup market. Clearly, the Middle East has been sloppy with the number of jackups as accommodation units. People continue to point out up ticks in demand although that’s still very modest coming off the bottom. Any thoughts about these rigs moving back to the drilling mode versus accommodation and even though we’re seeing up ticks in demand very much, it seems to me that the margin for jack-ups, we still have significant new build deliveries coming in to the market, which to me would imply the market will still be in an over supplied status. Can you give us some color there on those rigs in the Middle East and just your thoughts in general about new build supply still entering the market versus the up-ticks in demand?
Roger Hunt: When you analyze who is building the new rigs and where they’re located, it’s I think it’s not necessarily a fungible market in that they can place those rigs wherever there may be a demand build. We like our position as an incumbent in the Middle East where with any marginal increase, we’ll benefit from that, and we’re not necessarily going to be competing heads up against a new build. I think we’ve seen that in the new build, rates for new builds out in Southeast Asia have been up in about the 110, 115, and even higher range. Let’s hope there’s a build of demand in the region.
Operator: Your final question comes from Joe Hill - Tudor Pickering.
Joe Hill - Tudor Pickering: I just wanted to follow up with Roger on a question Angie asked, Roger you said that the jackup market is not necessarily a fungible market, that kind of perks my ears up a little bit, could you talk a little bit about why that’s the case?
Roger Hunt: I was speaking to when you look at the demographics of a lot of the new builds, they’re in the hands of smaller contractors where one can’t assume that they’ll have access to a broader customer base and that’s the crux of my point.
Joe Hill - Tudor Pickering: David, when I look at kind of the return on equity the company has had for the quarter of 26% and I look at basically the return on capital employed that you guys think you’re going to get for the Globetrotter, around 14% I think, and I try and think about the board’s consideration in terms of deploying the cash, can you kind of give us some insight as to what the board thinks of when they evaluate the opportunity to buyback shares versus the opportunity to build a new rig?
David Williams: Well, we have an authorization from the board to buy back shares. We don’t consult the board every time. We go to the market buy back share, we have an approved authorization, and it’s up to us when we do that. So, I can tell you that we consider and we demonstrate to the board and hopefully to shareholders that we look at all opportunities when we buy back shares –or when we deploy capital in another place. As I said in my remarks, those strategies, those dividends, buying shares, paying a dividend, and buying assets is not mutually exclusive. What exclude one versus the other is how much you want to deploy one alternative versus another. So far, the board has consistently acted and this is not a new phenomenon, this goes back to the really the beginning of time of Noble in its early days of expansion is that we prefer to grow the fleet in a manner that provides a long term benefit for long term shareholders. If your look at our board, most of them have been in place for a long time. They haven’t changed and we have authorization to do some things, share buybacks we do, we undertake to discuss just about everything else with the board, but their view of the world hasn’t changed. What’s changed is the world in which we live. We’re in a negative debt situation right now and clearly we’re going to build more cash. So that’s a place where as a drilling contractor, we haven’t been before, and we’ll boldly go here where no driller has been before. And as we build more cash, we will figure out how we are going to distribute it, but those strategies are not necessarily mutually exclusively and we evaluate all of them regularly to see which one we think does the best. Happily, right now, they’re not mutually exclusively.
Lee Ahlstrom: Regina, I think we’re at our time. We know that there are some folks who most assuredly must be left in the queue and that we haven’t been available to get to you. Brook and I will be available for any follow up questions. I am over here in Geneva, so call early. Thanks for tuning in and for supporting us. We’ll be back in April with first quarter results.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you for participating. You may now disconnect.